Operator: Good afternoon, ladies and gentlemen, and welcome to our conference call for discussing the results recorded by Romgaz Group in the first 9 months of 2025. After introducing the speakers, Mr. Gabriela Tranbitas, Chief Financial Officer, will make an opening speech. Thereafter, the Q&A session will take place. Please be advised that this conference is being recorded for internal purposes. On behalf of the company, the following speakers attend this conference: Ms. Gabriela Tranbitas, Chief Financial Officer; Ms. Gabriela Mares, Strategy, International Relations and European Funds Director; Mr. Ion Foidas, Production Director; Mr. Radu Moldovan, Energy Trading Director, and our Investor Relations department. Now I would like to give the floor over to Ms. Gabriela Tranbitas, who will open the conference call with an opening speech.
Gabriela Tranbitas: Good afternoon, ladies and gentlemen. Thank you for joining our conference call to discuss the results recorded by Romgaz Group in the first 9 months of 2025. We published today the quarterly report and the consolidated interim financial statements for the first 9 months and the third quarter of 2025, which presents our economic and financial achievements in the period. Also, an updated presentation of the group is available on our website in the Investors section. I will start with some aspects of the gas market context in the first 9 months of 2025 compared to the same period of the previous year. Natural gas consumption in Romania advanced marginally by 2.5% to 72 terawatt hour, while gas imports recorded a significant increase of 65%, reaching a 32% weighting in the domestic consumption according to our assessment. On the Central European Gas Hub, the average reference price rose by over 30% according to data provided by the National Authority for regulation of the Mining, Oil and CO2 Geological Storage Activities. Similarly, we assessed that on the Romanian Commodities Exchange, the wholesale average price increased significantly in the first 9 months. The market is still having a weak trading liquidity as a result of the current regulation in force. Regarding the fiscal framework in the energy sector in Romania, Romgaz activities continue to be influenced mainly by government Emergency Ordinance 27 issued in March 2022 and government Emergency Ordinance No. 6 applied starting April 1, 2025. Let us remind you of the main legal provisions applicable to gas producers. Regulated gas selling price of RON 120 per megawatt hour for the gas sold households and suppliers -- of households, key producers and their suppliers for the production of thermal energy for households and to the transmission operator and distributors for maximum 75% of their technological consumption. This price level is applied until the end of March 2026. For the gas sold at regulated prices, payment of the windfall profit tax is exempted and gas royalties are computed based on these regulated prices instead of CEGH reference price. We continue this presentation by highlighting the operational and financial performance recorded by Romgaz Group in 9 months 2025. Production of natural gas reached 3.68 bcm, marginally higher by 0.1% year-on-year and overcompensating for the committed natural decline of maximum 2.5%. In Q3 alone, we succeeded to increase our gas production by 0.5% compared to the same period of 2024 to the level of 1.19 bcm. The significant performance achieved in the first 9 months was due to the steady efforts undertaken to consolidate the potential of our onshore output of which I will mention: continuous rehabilitation projects of the main mature gas reservoirs in order to maximize production and increase the recovery factor. We completed investments in production infrastructure, which allowed us to stream in production of 5 wells. We reactivated a 133 inactive wells through specific investment works with an initial daily flow of over 1.72 million cubic meters in total. Also, we finalized the 6 surface facilities, have 6 other facilities in execution, another 17 in different preparation stages, and we perform reactivation and capitalizable repairs or a total of 167 production wells. We can also mention that all these measures led to a significant 57% increase in our condensate production to the level of 39,944 [ tonnes ] in the first 9 months of 2025 due mostly to higher production in our Caragele commercial field. Regarding Caragele Deep, works are progressing with 76 Rosetti well, preparing for production testing, 54 Damianca well in execution, 78 Rosetti well in production, while 7 other wells are in different stages of drilling preparation. Compared to last year, we improved even more our strong position already held on the Romanian gas market. Our market share climbed almost 55% of total consumption in Romania and reached 80% of the consumption covered from domestically produced gas according to our assessment. We recorded total revenues from the gas sold higher by 8.3% year-on-year to RON 5.25 billion compared to RON 4.85 billion in the same period of 2024. This good result was due to gas volumes sold elevated by 12.4% year-on-year to 3.63 bcm (sic) [ 3.68 bcm ] in 9 months 2025 based on net volumes extracted from underground storages and lower deliveries to Iernut power plant. Revenues from storage services increased by 16% year-on-year to RON 432 million, with revenues from injection services 53% higher. Revenues from electricity declined by 20% year-on-year to RON 245 million as production of our old power plant has expectedly decreased to 480 gigawatt hour in 9 months 2025 still supporting the security of supply in the energy market in Romania. Overall, Romgaz Group reported total revenues of RON 6.05 billion, higher by 7% compared to RON 5.63 billion a year ago based on the strong contribution of our upstream segment. On the expenses side, we can point out that windfall profit tax decreased by 24% year-on-year to RON 597 million in the first 9 months of 2025 compared to RON 791 million last year due to higher gas deliveries at a regulated price. Gas and UGS royalties adjusted by 2% to RON 421 million. Altogether, the main taxes were lower by 16% year-on-year and representing an expense of RON 1.03 billion compared to RON 1.24 billion last year with a positive effect on our profitability. Bottom line, net profit amounted to RON 2.43 billion elevated by 7% year-on-year, representing the highest value ever recorded over this period by Romgaz Group. All profitability rates were substantial. EBITDA margin at 54.8%, EBIT rate at 46.4% and net profit rate at 40.3%. For Q3 alone, we can underline a net profit of RON 755 million elevated by 73% compared to '24 being at the highest value ever reported in Q3 as well as a highest net profit margin of 42% have reported in this quarter. On the CapEx side, Romgaz Group invested a total consolidated amount of RON 2.84 billion in 9 months 2025. Of this, RON 2.07 billion represented the investment of Romgaz Black Sea Limited and RON 732 million, the investments made by Romgaz alone mainly in exploration and production modernization. With respect to Neptun Deep, we continue to focus on permitting activities, construction works, equipment manufacturer and development drilling. Our strategic project is currently in the execution phase and progressing according to plan. As a result of the significant developments, Romgaz and OMV Petrom are on track to safely deliver the first gas from Neptun Deep in 2027 and the project remains within the budget level. Another important objective is the combined cycle gas turbine power plant in Iernut, for which the completion rate was 98% for the overall turnkey project consisting of the execution of the initial work contract and the execution of the new works contract and 90% of the less EPC contract. As publicly announced on the Bucharest Stock Exchange, Romgaz and the termination notice of the design and works contracted the contractor on September 11, 2025, and the contract ceased on October 13. Romgaz has also taken steps to execute the performance guarantees established by the contractor according to the contractual provisions. The reason for the early termination of the contract was nonexecution of the contractual obligations by the contractor, including failure to meet contractual deadlines. Romgaz has repeatedly flagged execution delays of the contractor and informed periodically the capital market on the status of the project. Following the contract early termination, Romgaz becomes a general contractor will assign the contracts of essential subcontractors, and we will directly purchase the services and products necessary for the testing and commissioning of the plant. Regarding our strategic development, we remind that Romgaz Board approved the company's decarbonization strategy for 2025-2050 on October 22. This strategy was developed in the context of European and national policies aiming to mitigate greenhouse gas emissions. The project was developed with the support of EBRD and KPMG and resulted in a strategic document outlining the company's objectives for decarbonization and transition to green energy. These net zero trajectory shall be periodically reassessed based on technological progress, availability of funding and the clarity of regulations. In line with this strategy, please recall that on September 9, Romgaz and Electrica signed a memorandum of understanding for the development of green energy production and storage capacities of up to 400 megawatts exclusively through greenfield projects. The partnership represents a step towards diversification and energy transition strategy of Romgaz. Another important event is the second issue of bonds under the EMTN Program, which was oversubscribed 7x on October 28. The new EUR 500 million bond issue has a 6-year maturity and a coupon of 4.625% per annum. The result of the second bond issue confirms Romgaz capacity to access the international capital markets and the confidence of institutional investors in the company's development strategy. At the end of this presentation, I would like to highlight the strong performance recorded by Romgaz shares on the Bucharest Stock Exchange. The share price surged over 90% this year due, among others, to the company's development potential, solid position on the market and good perspectives for the energy sector. With this, I would like to close our presentation, and thank you for your attention.
Operator: [Operator Instructions] Ms. Ioana Andrei, please address your question.
Ioana Andrei: Congratulations for the appealing figures. I have a couple of questions. First, if you could please disclose the volumes sold at the regulated price during this quarter. I know it was estimated around 9.5 terawatts, but please just to be sure. Second, again, regarding the Iernut power plant. It was not clear for me and from the presentation. In this point, when do you expect the first production for testing? And when do you expect the first commercial production? Third, regarding the decarbonization strategy. Can you please disclose what are your plans for the next 5 years until 2030? I'm interested about the CapEx plans related to this issue. And last, regarding the case filed against the European Commission for the pro rata contributions to the CO2 injections. I am curious what are the investment obligation of Romgaz until 2030, if you don't receive a favorable rule on this issue? And what are the CapEx plans if you do receive a positive outcome? Basically, I would like to know what is the CapEx under the both scenarios.
Gabriela Tranbitas: Thank you for your questions. In Q3 alone, we sold 87.65% of our gas at regulated prices.
Ioana Andrei: 87%, please?
Gabriela Tranbitas: Yes, 87.65%.
Ioana Andrei: Do you have a figure in terawatt?
Gabriela Tranbitas: Yes, 10.14 terawatt hours. Regarding Iernut, as you know, the contract was terminated in October. The contract with the former contractor allowed for the assignment of subcontractors through Romgaz. We asked the contractor to assign this contract was to inform us what are the works still needed to be done to complete the project. Unfortunately, the contractor doesn't want to cooperate with us in this respect. So we need to find other legal ways of contracting these works. The site supervisor is working on identifying the works left to be done. So that we can start the acquisition process for the remaining works. As we are under the provisions of the public procurement law, the process of appointing the subcontractors may take some time. We estimate that after we have all the contracts in place, it will take around 9 months to complete. On the decarbonization strategy. I would like to point out that it contains the main framework of the steps to be taken to achieve the net zero target. Our initial -- the most important plan for now is to complete the Neptun Deep project. Afterwards, we will identify the projects that we will perform until 2030. We will have to check the feasibility of these projects, identify the investment plans. And after we have all this information, start implementing them.
Gabriela Mares: With regard to the NZIA regulation, as you have probably heard from the press, yes, Romgaz filed against the Commission because we think that the delegated act was not fairly decided. There was no impact assessment on oil and gas producers, which are very much impacted, especially the Romanian oil and gas producers. Of course, we are doing our research in parallel, not disregarding what will happen at the European Union Court of Justice because we do not know what will happen. In the meantime, Romgaz is assessing its technical potential to make possible capacity storage. However, no investment should be taken, no matter what the outcome from the EU Court of Justice will be. Romgaz will investigate and will only invest in such projects if such project will confirm its economic and technical economic and commercial feasibility. Thank you.
Ioana Andrei: So just to be sure, you don't have for the next 5 years, a plan for investments based on this?
Gabriela Mares: Well, there is a plan because the plan -- actually the obligation is given to us by this NZIA regulation. And it means for Romgaz to create storage capacity of 4.12 million CO2 per year. The investment associated to this is around EUR 600 million. Before investing in such project, we have to do our analysis. And the first thing we are doing now and are currently under the process of evaluating is to assess the technical feasibility in order to use depleted gas fields for CO2 storage. This is where we are now. Analysis are, of course, going forward. And at the moment, that such project will turn out to be economic and commercial feasible. Of course, we will invest. But if not, no matter if we will win at the European Court of Justice or not, we will only invest on the basis of economic -- technical, economic and commercial feasibility.
Ioana Andrei: And if I may, 1 more question regarding Azomures, can you give us an update?
Gabriela Mares: Yes, we are currently in a due diligence analysis. It's approaching its end. We have 2 consultants in this process. We have a consultant for the technical, economic and environmental due diligence. And we have another consultant for the legal due diligence. The reports, we expect the first interim reports probably next week. And our plan is to evaluate them and to come with final reports and if the case may be with a binding offer by the end of the year.
Operator: We received a written question from Mr. [ Adrian Maresh ]. Do you have an estimated finalization date for Iernut power plant?
Gabriela Tranbitas: As already mentioned, we have to assign the contracts for the remaining works to be performed in order to commission the plant. It will take sometime. We need to first identify the works remain to be done and then start the procurement process. After we have all the contracts in place, it will take about 9 months to complete. We are working with a target of end of next year. However, achieving this target is not entirely under our control.
Operator: We received 3 written questions from Mr. [ Christian Petrem. ] The first 1 would be, can you detail next steps regarding Iernut and what are your expectations for project to become operational? And the second 1 was related to Azomures and they received previously the answers. And the third question is can you outline main objectives after decarbonization strategy?
Gabriela Mares: In the decarbonization strategy, the consultant analyzed a few scenarios. The first scenario was what will happen with our carbon footprint, with the company's carbon footprint if we do not invest at all, if the emissions will only drop due to the decrease of gas production until 2050. The other, of course, this was just to make the comparison on what there is to do. Then there was another scenario where we also analyzed, let's say, a minimum investment in order to decrease the emissions, envisaging, first of all, to reduce emissions from our own activity for the exploration and production activity. And then comes the third scenario, where we have tried to see what the road map will be and what projects we will need to implement in order to get the net zero target by 2050. And the outcome of this third scenario, which we are looking at as an aspirational, let's say, target, is to have to, let's say, to focus on the following type of projects. First of all, of course, we will focus on reducing the emissions from our own activities, which means Scope 1 emissions by electrifying -- by mitigating methane emissions. Secondly, then we are looking to the new technologies in order to make the green transition possible. And these type of projects include, first of all, the [ RES ] winds and solar plants. Then the second would be the CCS, which as mentioned before, is regulatory obligation. Then we are looking also at the possibility to have green hydrogen production and biomethane introduction. And if -- you can find the summary of the decarbonization strategy on our website, and there's a good presentation there where you can see the percentages of investment for each of these technologies. However, I remind you that this third scenario, the net zero scenario is for us an aspirational pathway. But each and every project is firstly analyzed to see the feasibility perspectives of -- and the potential of implementation because as we speak, what we plan in this decarbonization strategy has a degree of, let's say, uncertainty regarding regulation, financing, the evolution of technologies, which are at the very early stage right now. Depending on these evolutions, of course, the strategy will be periodically revised and reanalyzed. And in parallel, the projects also -- each and every project will be analyzed to see if it has a feasibility potential.
Operator: We received written questions from Mr. [ Jorn Marios Calin ]. The first one, can you provide details on the memorandum with Electrica, implementation time? What will be the company's financial contribution?
Gabriela Tranbitas: The memorandum as a framework under which we will work with Electrica to develop the greenfield projects envisaged. Electrica must first identify the project, run feasibility tests. Until now, we were not informed of any project being selected. The contribution to the projects will depend on the actual projects being presented to us and whether they are feasible for us.
Operator: The next question is, can you provide news on the next project, ERP retail clients invoicing, Azomures procurement and the 40-megawatt photovoltaic park.
Gabriela Tranbitas: Regarding the ERP, currently, we are developing the platform that will facilitate the relationship with the clients in this new market. Aside from this, we are also having discussion with the banks and payment processors to implement online payments that will be embedded into this platform. Also, we are running acquisition procedures for other software that will be needed in this activity for online contracting, call centers. Specifically regarding the ERP, we estimate that by the end of this year, it should be operational. However, until we actually access the market, there are still other steps to be taken. So we estimate that the first deliveries will only start in April. On Azomures, we already provided an answer. We are currently in progress with the due diligence process. And on the photovoltaic park of 40-megawatt hours, we still haven't signed the contract. The acquisition procedure was selected for review by the National Agency for Public Procurement. This is a standard procedure. They randomly select some acquisition procedures, but this review has delayed the awarding of the contract.
Operator: The next question from Mr. Jorn Marios Calin. Do we envisage better results on the electricity production side after elimination of the cap in July 2025?
Gabriela Tranbitas: Results on the electricity segment were fairly similar to Q2 2025. So in Q2, we had a loss of RON 93 million. In Q3, we had a loss of RON 96 million. The evolution, as I said, is pretty similar. On the liberalization of the prices of the market, we sold at free prices even before the liberalization. The mechanism for centralized acquisition at which we sold under a regulated prices of RON 400 per megawatt hour was optional in 2024 and 2025. So we didn't apply it.
Operator: The next written question from Mr. Oleg Galbur. Can you please comment on the results of the Power segment in Q3 2025, which were slightly worse in comparison to Q2 2025 despite the end of the electricity price regulation. What has led to a higher loss of the segment in Q3 2025?
Gabriela Tranbitas: In Q3 2025, the plant was stopped for -- due to breakage of the old plant. As such, we had to purchase from the market, the electricity that we contracted for our clients. So in order to meet the delivery obligations, we had to purchase from the market, the electricity that we can produce.
Operator: The next written question from Mr. Jorn Marios Calin. Can you please tell me the value of your investment in Neptun Deep project?
Gabriela Tranbitas: Do you mean the investment for the entire project, the investment in this period? Not sure.
Operator: The next written question is from Mr. Oleg Galbur. What is the volume of gas assigned to be sold by Romgaz at regulated prices in Q4 2025 and Q1 2026?
Gabriela Tranbitas: In Q4, we estimate we will sell 10.6 terawatt hour. And in Q1 2026, 9.67 terawatt hour. For the full project, the investment is estimated to cost EUR 4 billion, of which our share is 50%, so EUR 2 billion.
Operator: If you have any other questions, please feel free to address them. We received the written question from Mr. [indiscernible] Hello, will you consider to buy electricity from the market in the future to meet clients' needs similar to Q3 2025?
Gabriela Tranbitas: Normally, our current strategy is to only sell the quantities, the electricity quantity that we produce. If the plant breaks down suddenly, then of course, we will have to buy electricity from the market and meet delivery obligations. But it's not something that we want to do.
Operator: We received another written question from Mr. Oleg Galbur. Were the technical issues at the Iernut power plant sold? Is the plant now up and running?
Gabriela Tranbitas: Yes, currently, the plant is running.
Operator: Another written question from Mr. Jorn Marios Calin. Do you intend to have other issue -- bond issues in the next 2 years?
Gabriela Tranbitas: Currently, based on our existing projects, we already covered the finance needs for next year. However, if some unforeseen projects appear or depending on the situation in the market, we may issue another bond under the current EMTN Program. As you know, we already had 2 issues of EUR 1 billion out of our EUR 1.5 EMTN Program.
Operator: If you have any other questions, please feel free to address them. We received the written question from Mr. Christian Petrem. The EUR 2.76 billion in decarbonization strategy includes the EUR 600 million you mentioned for CCS?
Gabriela Mares: Yes. They're included.
Operator: If there are no further questions, we will conclude this conference call. Thank you for your questions. If you need further information, please contact our Investor Relations team. The conference is now concluded. On behalf of Romgaz team, thank you for attending today's conference call.